Operator: Welcome to today's Centamin Full Year 2021 Results Call. My name is Jordan and I'll be coordinating your call today. [Operator Instructions] I'm now going to hand over to Martin Horgan, CEO, to begin. Martin, please go ahead.
Martin Horgan: Thank you, Jordan. Good morning, everybody. Welcome to the Centamin full year 2021 results call. Thank you for joining us today and dialing in. As mentioned, I'm Martin Horgan, Chief Executive of Centamin. I'm delighted to be joined today by my colleagues, Ross Jerrard, Chief Financial Officer; and Alex Barter-Carse, Head of Corporate Comms. Just moving on to the disclaimer, I'll leave you all to digest that at your own leisure which I'm sure you will do. So when we look at this slide, you'll recognize, I think, what's been our clear and consistent strategy over the years: value maximization at Sukari; growth and diversification; and commitment to stakeholder returns. And when I look at that -- on that strategy and what I think it's going to deliver for us, I think that gives us the vision to become a multi-asset, multi-jurisdictional producer. And I think really when we look back at the performance of 2021, I believe we had a very, very strong delivery into this strategy. I'm delighted that the team, despite faced by the challenges of COVID, have been able to navigate that through this reset period. And I'm really pleased with the outcomes of this last year. When we look at Sukari itself with the maximization of value there, we delivered the guidance, both in terms of cost and production. We completed our Life of Asset interim update. And that gave us a road map to becoming a consistent and long-term 500,000-ounce producer at the asset. And in doing so, that also a road map a number of additional opportunities that we can deliver, delivering both growth and further cost saving targets as well. Sticking with growth, on to the growth and diversification area. We undertook our West African review. Delighted with the outcomes of that as we identified Doropo as a project that we believe has the scale and qualities that can be our next mine. And we can put that straight into a PFS. And also, over the period, we were able to secure a 3,000-square kilometer package of exploration land in the hugely exciting and prospective Arabian-Nubian Shield Eastern Desert of Egypt. And in terms of our commitment to stakeholder returns, it remains unwavering, just under $100 million shared with our partners in Egypt through $75 million of profit share and $22 million in royalties. I'm delighted today, subject to the 10th of May and the AGM and shareholder approval, confirm the final full year dividend of $105 million for 2021. Next slide, please, Alex. I really like this chart. This is something I believe that encapsulates a lot of the work that we completed in 2021 we looked back to that at previous slide. And I think it maps out how we can deliver that vision of being a multi-asset, multi-jurisdictional producer for our existing asset base as well. What underpins it is the Life of Asset review at Sukari and that road map of how we get back to 500,000 ounces. The West African review, as I mentioned, identified Doropo as a next development opportunity. And I think also the work that we've completed has given us the confidence that we now have the ability to lay out this long-term vision for the company. And I think what's really exciting as well is what's not captured here is the significant potential that we also see in our exploration portfolio, both at the ABC Project in Côte d'Ivoire but also at our exploration projects in West Africa as well. And when I think back to 2021 and our keyword of delivery, what we also have here is some more deliveries for 2022 as we continue to deliver that upside for result and we continue to realize the full potential of Centamin and we'll deliver the Doropo PFS and also that underground expansion study at Sukari as well. Next slide, please, Alex. Safety, of course, remains a core focus for all of us at Centamin. That's across all our operations and our sites. COVID remained a key challenge during 2021. And our protocols, aligned with a nimble and responsive management team, ensured that we're able to navigate the year without any material impact on gold sales for our supply chain. We do, of course, remain vigilant as we head into 2022 and do retain protocols in place. We're delighted that over the period, over 90% of our employees have now been vaccinated with close to 100% being vaccinated in Egypt. In terms of our safety record at Sukari, delighted that actually last year, we managed to break a record of achieving 5.2 million hours of LTI-free operations at Sukari. The team has done fantastically well to deliver that. And alongside that, we've improved also our material -- with no material impacts from our environmental incidents -- sorry, excuse me, one second. Sorry about that, with no material environmental impacts. And with that, I'll now hand you over to Ross, who will take you through our results in some more detail. Thank you, Ross.
Ross Jerrard: Thank you, Martin and good morning, everyone. I'm delighted to take you through our 2021 full year results. 2021 was about investing in our portfolio to lay the foundation for long-term success as well as continuing to deliver shareholder returns. I'm pleased to report that Centamin delivered a resilient performance that was in line with our expectations and what we guided for the year. Revenue generated of $733 million from annual gold sales of 407,000 ounces at an average realized price of $1,797 per ounce. This was ahead of our expectations due to the higher gold prices than we had budgeted. Of note, a total of 11,000 ounces of unsold gold bullion was held on site at year-end worth $20.3 million. This was due to timing of gold shipments across the year-end and has since been sold. Whilst the revenue was down on the prior year, gold production and gold sales were in line with guidance and revenue was ahead of expectations. As you know, our capital expenditure was $241 million. This is our peak capital investment year and delivered ahead of budget as the waste stripping program outperformed throughout 2021, equating to $59 million which was capitalized, as well as other key capital items such as the construction of the solar plant, where $33 million was spent. As expected and in line with our three year reset plans announced in December 2020, Centamin's cash flows and earnings declined in 2021 due to the lower gold production and sales, higher costs and increased capital expenditures. This resulted in an adjusted group free cash flow of negative $6 million for the year after $75 million of profit share was paid to our partners, EMRA. Adjusted EBITDA was $329 million at a 45% margin. This has been adjusted for the impairment charge of $35 million relating to our Burkina Faso assets. As you will remember, we held this asset as held for sale at the interims, where we remain in discussion with potential strategic parties. Given the change in the political environment in Burkina and ongoing discussions with government, from an accounting perspective, we triggered an impairment consideration and have taken the decision to remove this balance from the balance sheet. Other notable movements in the income statement compared to prior periods were a 9% increase in mine production costs and additional depreciation and amortization charges for the year which was a function of the lower reserve ounces in the 2020 R&R, particularly for the first half of the year. And there was also an additional $4 million increase in provisions, mainly due to increases in obsolete inventory item provisions. Profit before tax was $154 million. In addition to relative year-on-year movements, this was uniquely impacted by the Burkina impairment, accelerated amortization and an 8% increase in cost of sales. Centamin continues to maintain a strong and resilient balance sheet with cash and liquid assets of $257 million at the end of December. Our capital structure review is underway and scheduled to be completed in mid-2022, where we expect to introduce a sensible level of debt to the business to increase our financial flexibility and liquidity as we deliver on our ambitious growth plans. Centamin's capital allocation continues to be disciplined and closely qualified against value creation. The consistent use of the framework is important to all stakeholders. It is essential that we maintain a solid but flexible treasury throughout the current capital investment phase and that we continue to balance each of these core pillars appropriately. The company continues to exercise a balanced approach to responsibly maximizing operating cash flow generation, reinvesting for future growth and prioritizing sustainable shareholder returns. The company's liquidity and strength of the balance sheet is fundamental to the longevity of the business and is seriously considered when assessing any capital allocation. Centamin has an active growth pipeline through results-driven explorations. These self-funded projects are ranked based on results against development criteria and prospective returns before capital is allocated. This year was flagged as a peak capital investment year with sustaining CapEx of $106 million, essential to maintain the business and growth CapEx of $135 million being spent. Importantly, we have distributed $75 million to EMRA in profit share and maintained our commitment to distribute $105 million as dividends to our shareholders for the 2021 financial year. This was confirmed this morning, where the Board proposes to declare a $0.05 final dividend for 2021, subject to shareholder approval which honored this $105 million distribution commitment. In consideration of Centamin's growth plans and against a backdrop of global uncertainty and persisting inflationary pressures, the Board wanted to provide shareholders with some clarity on the 2022 dividend. Today, we have announced our intention to pay a minimum of US$0.05 for 2022 with upside opportunity aligned with free cash flow generation after growth capital investment. Wanting to take a cautious but prudent approach during these uncertain times but also demonstrating the confidence during the reinvestment period, we believe this provides a minimum floor for distribution but importantly provides the appropriate balance across investing in growth and paying dividends. The dividend policy itself remains unchanged and remains a function of free cash flow. 2021 was about investing for the future. And we had some key capital projects delivered. The two biggest spends were the solar farm and related plant upgrades which were $33 million and the waste stripping contract, where $55 million -- $51 million, excuse me, was spent. We spent $20 million on the TSF2 lift and booster station. We had various upgrades in the processing plant amounting to $7 million. We continued with the conversion of the open pit truck fleet with lightweight truck trays amounting to $5 million. And the camp upgrades were completed with a $4 million spend in the year. In December 2020, we announced our three year capital outlook to put Sukari back on the front foot by improving long-term sustainability of the operations through increased stripping and underground development to increase mining flexibility. And as mentioned, many of the 2021 capital programs were delivered ahead of schedule. Ongoing growth projects include the construction of the hybrid solar plant, reducing the reliance for -- on fossil fuels and improving operating costs and the construction of an underground paste fill plant. Looking forward to 2022 CapEx, there is a $25 million rollover, driven by the solar plant of $15 million and paste plant, $10 million which were not fully delivered in 2021. We continue with the waste stripping program and have some underground equipment purchases to be made with the change-out of the underground contractor. 2022 sustaining capital levels remain consistent at approximately $100 million, mainly across the key areas of equipment rebuilds of $32 million; underground development, $39 million; plant maintenance; and ongoing exploration at Sukari exploration. It's worth noting that looking towards 2024, you can expect the spend on non-sustaining CapEx to continue to trend downwards while sustaining capital remains constant at around that $100 million level as you can see in those blue columns. A critical element of our strategy is maximizing margins. Our cost savings program was initially launched to extract a minimum of $100 million of sustainable costs over the business over a four year period. This focus on identifying continuous improvements has been adopted across the group with excellent results. Since 2020, we have delivered $71 million worth of cost savings. And combined with the recent outcomes of the Sukari Life of Asset work which identified further cost saving opportunities, we had the confidence to increase the target from $100 million to $150 million. This slide illustrates a few of those initiatives either delivered, in progress and those under review, a true demonstration of our culture of continuous improvement that we have established throughout the group over the last 18 months. It won't stop here. That culture will drive further efficiencies and cost savings, whether that be through workforce delivery, innovation or further supply chain optimization. It is critical that we have an active cost savings program to help offset current inflationary pressures. Our target is to be in the lower half of costs by 2024. We're budgeting for Egypt inflation to increase to 6.3% in 2022, up from 4% in 2021. We're experiencing unprecedented levels of increases of price of reagents and consumables, driven by global pressures. So we need this cost program to help to offset some of these increases. Despite significant inflationary pressures experienced towards the end of 2021 and above-budgeted material mined, our focus on stringent cost management meant that costs were delivered at the midpoint of our annual guidance. Some of the key initiatives delivered in 2021 that contributed to the outcome include: reducing cyanide consumption in the CIL plant, $2.7 million; installing 10 additional CIC vessels; sourcing alternative suppliers and introducing recycling of grinding media in-country which added $3.2 million; re-ripping of the dump leach pads; busier froth recovery improvements; and the continued rollout of the lightweight truck trays or high-performance truck trays. The inflationary pressures were offset by our cost saving initiatives and helped us deliver on our guidance. The open pit owner performance was in line with budget. And even with rising fuel and explosive costs and record material mined which was up 38%, we achieved budget through improved operating productivity and efficiency. The underground was impacted by poor contractor performance and also the impact of COVID. Slightly higher tonnes were mined at a lower grade, 4.95 grams per tonne. And the underground remediation work impacted production performance that was important for the longer term. Processing efficiencies were offset by increases in both fuel and consumable prices. A further commissioning will help offset the cost base in processing as well as reduce our reliance on fossil fuels in the latter part of 2022 and beyond. G&A costs were impacted by another year of COVID protocols as well as an increase in the level of investment in our staff training and travel. It was a big impact as inflationary pressures increased our food, catering, travel and shipping costs. In 2022, as we transition the underground team to owner-operator, we expect to see a further increase in the G&A cost center but equally a reduction in the underground department costs as we'll be no longer paying for the underground contractor costs and associated margins. In terms of cost structure, the mine production costs totaled $368 million which was up 9% year-on-year. The biggest categories were the open pit, representing 37% and the processing department, 42%, respectively. There were limited changes in cost sensitivities year-on-year in both group cost breakdown or foreign currency exposure as seen on these bar charts. Taking a more granular look at the next three years which we have previously announced. We expect that there will be an increase in ounce profile back up to the 500,000-ounce mark. We equally expect a tapering trend in the cost base through 2024 and beyond. We have budgeted for rising costs in 2022, driven by the higher consumer price inflation within our operations, supply chain pressures on fuel, consumables and shipping costs and the tighter labor markets. We have prudently decided not to budget any of these offsetting impacts of our ongoing cost savings and improving operating efficiencies and productivity gains until we have a better sense of the longer-term inflationary environment. We know we have a strong and focused cost program which needs to keep momentum and help offset the headwinds being experienced and are mindful of these external cost pressures. We remain focused on the generation of free cash flow, as ultimately, this is the metric that matters. I'd also flag that through the audit, there were some small adjustments to the cash cost and all-in sustaining cost numbers that were previously announced. This was due to the treatment of certain deferred stripping costs and the components used for accounting purposes as well as an amendment to the calculation of the mine ROM inventory model and it’s flow-on effects to other inventory categories. It resulted in a $7 per ounce increase in cash cost per ounce and a $23 per ounce increase in the all-in sustaining costs per ounce sold. Deferred stripping costs were taken out of operating costs and capitalized as per policy. Additional inventory costs were expensed which offset the reduction in the open pit mining costs. The increase in the inventory cost was not equal to -- an equal and opposite offset for open pit cost reductions. Stakeholder, or specifically, shareholder returns are central to our company's strategy. We have an eight year track record of returning cash to shareholders based on our policy linked to free cash flow generation. Our dividend policy makes firm commitments in capital allocation, meaning shareholder interests are always at the center of what we do. Consistent with the company's commitment to returning cash to shareholders and recognizing 2021 as a peak reset year, the Board proposed a 2021 final dividend for the year ending 31st of December 2021 of US$0.05 per share or $58 million, bringing the proposed total dividend for 2021 to US$0.09 per share or $105 million. This represents $255 per ounce or a 4.9% yield and results in total dividends paid over the last eight years to $719 million. The final 2021 dividend is subject to shareholder approval at the AGM on the 10th of May and following approval, will be paid on the 10th of June 2022. In consideration of Centamin's growth plans and against the backdrop of global uncertainty and persisting inflationary pressures, the Board wanted to provide shareholders with some clarity on the 2022 dividend. Today, we have announced our intention to pay a minimum of US$0.05 for 2022 with upside opportunity in line with free cash flow generation after growth capital investments. In conclusion, 2021 was always going to be a year of elevated investment. And I'm glad to report the delivery against our objectives for the year, meaning that we delivered what we said we were going to do and importantly set the platform for long-term growth. And with that, I'd like to hand back to Martin.
Martin Horgan: Thank you, Ross. That's a very comprehensive breakdown in walking us through those cost-saving initiatives there as we go forward. I think I'm going up to my two year anniversary at Centamin now and I look back at the last two years and I look at what surprised to the upside. And that's been a question I've been regularly asked. I think when I joined two years ago, my vision or my belief was that the first piece of work will be to fully optimize Sukari. And with a fully optimized Sukari, that would effect be an engine of the company that would allow us to build the multi-asset, multi-jurisdictional business that we're looking to develop. But I think as we've gone through a review of Sukari in our portfolio over the last sort of two years, I think what surprised is the embedded growth optionality that we already have in the portfolio. And I think that's been excellent. That's been able to recognize that we can achieve that target of becoming a multi-asset, multi-jurisdictional producer from our existing portfolio base. And I think really that now has changed the narrative around the business from being an asset -- a company that runs the Sukari asset and pays a dividend to one now that's a company that will continue to commit to dividends, as Ross has just spoken to but also has a significant amount of embedded growth potential within it as well. And what I'd like to do now in this next section is just take you through some of those growth opportunities as we see them today. So moving on to the next slide, I think you'll be familiar with this, obviously a long section of the underground ore body at Sukari as well. And I think people who have listened to me over the last two years will know that I've repeatedly said that, in our view, the ore body at Sukari has always been drill-constrained rather than geologically constrained. That's to say we haven't really found the full extent of the ore body, certainly not in the underground. And we always believe there was good potential for expansion within that. Delighted that during 2021, some superb geological work was done, fully re-logging the ore body on 25-meter centers to develop this new model that we announced at our Geological Day last year. And that really helped to inform how we view the ore body model and importantly direct us to how we could then grow the resources and ultimately the reserves of the ore body. And when we look at the underground, I think that was the real star performer last year. There were some good gains in the open pit. But really, the underground is, we believe, where the upside can come from. We managed to achieve a 200% reserve growth in the underground. And that took us from a full year to just about an eight year mine life. And that sort of decision as well also played it to our ability to have the confidence to move away from contract mining in the underground to owner mining, for example, as well. But we don't think that 200% increase is the end of the story. In fact, in doing the work, we also identified significant more opportunities that we believe we can deliver now this year and beyond that as well. I think most eye-catchingly and most excitingly was the emergence of those bonanza-grade zones we've talked about before, relatively small tonnage zones within the vast area of the ore body but have a significant potential to add ounces to our production profile. They have become a priority target for this year's drilling program and looking to try and bring those into the mine plan as quickly as possible as we go forward. But outside of those bonanza zones as well, we still believe there's excellent potential for further resource-to-reserve conversion. Last year's growth, I think, pleasingly for us, was driven mainly in the existing working areas of Amun and Ptah. And we believe that, that 200% growth still has yet to take into account the other targets within the ore body, including the Top of Horus and Horus Deeps. And we believe they will continue to be converted from targets to inferred material, inferred to measured indicated and ultimately into reserves as well. And we believe that will help to drive that mine life in the underground certainly beyond the current eight years and ultimately we believe beyond potentially the life of the open pit. And again, it's that confidence in the ongoing geological upside that we have in the underground that's allowed us to commit to the completion of an underground expansion study as we go forward as well. So we think lots more to come in the ore body, a really dedicated team in place now, a real focus, 85,000 meters planned in the underground this year, some 200,000 meters planned in the open pit. And we believe lots more to come in terms of reserve growth and ultimately resource growth to really help drive that mine life or that production increase as well. And if we talk about upside and we step on to the next slide, it's around the Nubian Shield, the Eastern Desert. I think in terms of the excitement, I understand from back in the early days of Centamin that the concept of Sukari is effectively the sort of the bridgehead into the Egyptian Eastern Desert, develop Sukari and then allow us to leverage into that significant potential that we see. As we know, regulatory concerns around the as-then Egyptian mining code probably prevented that from happening. But with that change in code that's occurred over the last 12, 18 months, that really has seen and encouraged not only ourselves but other international companies to look at that potential of the Eastern Desert. I've said a few times before as well, I've worked across Africa for over 20 years now. And I find Egypt to be one of the easier places to work. Great infrastructure, port, roads, an educated workforce, significant in-country supply chain, political stability and now a supportive mining code means that sort of the Eastern Desert of Egypt and as part of the Arabian-Nubian Geological Shield has been relatively underexplored and presents one of the last great geological terrains available for exploration. We can leverage off our 20 years’ experience in the country and 10 years-plus of mining operations there. And we've been able to secure 3,000 square kilometers of, we believe, highly prospective ground. Two strategies: around the Nugrus Block, looking to try and find satellite feed that could feed into the existing Sukari operation; and then two stand-alone blocks at Najd and Um Rus as well. We're busy with the field work preparations. We've recently been on a recruiting drive and secured a number of local team members, established offices and accommodation in the town of Marsa Alam, vehicle secured and significant amount of remote sensing work to inform our sort of start to work on the ground, where we can hit that running quite quickly. We're ready to go, just waiting final permits now. I'm delighted to get stuck into the Nugrus Block as quickly as possible. Already, preliminary work there has indicated a number of priority targets for us. We've been able to identify with 300 artisanal hard rock sites and over 20 kilometers of alluvial mine work is identified as well. So we think there's huge potential across the whole Eastern Desert and delighted to get started on that as soon as possible and start to really to bring that potential forward for us. I also mentioned before our West Africa review. As I joined two years ago, we had a significant mineral inventory across the West African projects. And really, for me, it was about taking those resources and the excellent the geological team have done to build that and start to think about reserves. And if we could identify reserves, coming up with a timely and cost-efficient way to bring those reserves to account. Batie, as you heard Ross mentioned before, we believe there's a viable project there in Burkina Faso but unfortunately none of the requisite scale or quality that we believe made sense for Centamin. And as Ross has mentioned, we commenced a project that -- sorry, a process for that last year. In terms of ABC, a fantastic start, 2 million ounce inventory, a great building block to come from. But we believe there's lots more potential at regional scale with the structure that the Côte deposit sits on. So we've almost gone back to basics, stepped away from the infill. And we're now looking on a more regional basis. We've been doing lots of soils work and trenching and generated a number of targets that we'll be looking forward to drilling soon to try and build on that inventory to create a project with sufficient scale and quality that could then support a development decision. But I think the thing that really pleases last year was the emergence of the Doropo project in Côte d'Ivoire. It's screening very well. We did the -- we ran our [indiscernible] from a scoping perspective. And it scored very nicely in all our hurdles for a sort of a decision to move forward. In terms of scale of production, potential life of the asset, relatively straightforward open pit mining with CIL processing technology. A CapEx number, we believe, is appropriate and I was actually going to say conservative and forecast cash and all-in sustaining costs that we believe will allow this project to be developed as a robust opportunity and one that sits very nicely with Centamin's desired production profile as we seek to build away from being a single-asset, single-jurisdiction producer. And as you know, we launched a pre-feasibility study pretty much straight away off the back of that. That continues to progress well and on target for delivery in Q3 of this year, where we look forward to update you on the progress of Doropo and on the assumption that remains positive and moving forward from the DFS from that point forward as well. So delighted with that. And we'll be looking forward to updating that in due course as well. And I think then if we look at this, I think this slide really just sums up our commitment, fundamentally believe that exploration is the lifeblood of this sector. And I really fundamentally believe in the creation of value through the use of the drill bit. It is the best way to create value for shareholders. And I think now we find ourselves with a fantastic team in place. That's not just the exploration geologists, it's around the ESG work as well that's supported for ESIA purposes and also the engineering skills as well. So, I believe we've got the team in place that we can deliver these projects. And I think as you can see from this slide as well that we're backing that team to deliver. And when we talk about backing that team, it's a management support from Ross and I and the Board that believe in the drill bit and the exploration process but also the budget. And as you can see here, as we look at '22 and '23 and beyond, we really are backing ourselves to deliver that value on behalf of our shareholders. And if we reflect back over the last year as well, we've also decided to set ourselves some pretty ambitious targets. And Ross touched on before around the culture of continuous improvement. And I think that has to be benchmarked against deliverable targets. If we look back to our three year target starting in 2020, $150 million of cost savings. I think Ross has highlighted some excellent progress on that to date and more to come. And certainly, with that confidence, we took out of that to expand that cost target from $100 million to $150 million. And as I touched on earlier, a continued focus on safety right across our operations and delighted with the results coming through from that. Last year, we set some further targets around production growth, targeting to get ourselves back to that 500,000 ounces of annualized production. That's a 25% increase from where we were in 2021 and look to have that delivered by 2024. We talked about a 10-year underground mine life. I think we surprised ourselves last year when we went from four to eight in one step. I'm looking forward to bringing up 10-year life forward and beyond. And as I said before, that also gives us that confidence to look at that underground expansion study. And of course, the reserve growth. We've said 3 million ounces. I think initially, we saw that as being 2 million ounces from Doropo and 1 million ounces from Sukari. And I think depending on this year's progress around resource and reserve and obviously that's developing at Sukari, plus the continued support from Doropo, I think that is a target well on for meeting probably ahead of schedule as well. As Ross mentioned before, as we look at our 2022 outlook, guidance has remained unchanged. Production remains in the range of 430,000 to 460,000 ounces. I would note that, of course, that we do have a back-ended profile this year. Being cognizant of the underground transition, we had planned for a lower Q1, stepping up each quarter through to a higher Q4. And that resolves itself into a 45-55 split. That handover to owner mining is largely now complete at site. The stabilizers are off and we're now cycling on our own and looking forward to really get moving on that as we go forward. And obviously, looking forward to update in April for the Q1 numbers as we step forward. CapEx remains on target at $225 million, again front-end split for that -- sorry, I should say, split-weighted but this time on the front end. And as Ross has mentioned, some of those key projects for us in terms of solar, paste fill and of course, paying for that underground transition to owner mining as well. Explorations, we've touched on, remains a key focus for us and up to $25 million budgeted this year to take both the Doropo forward and start that work in terms of the EDX work in Egypt. From a cash cost and all-in sustaining basis, again we are faced with the headwinds of inflation. That is an industry and a global issue right now. But I think we have been prudent in terms of how we view this going forward, as Ross has talked to. And I do think we have the ability to push against those headwinds with our cost savings initiatives. And of course, as Ross has mentioned, that commitment to stakeholder returns. We talk a lot about growth and our aspirations of where we could take the business. But we can't forget the core tenet of our business around that stakeholder return commitment. And I think that minimum dividend guidance for 2022 of $0.05, I think, just helps to reinforce our view and that of the Board around the importance of that as we move forward. We started by looking at the strategy and how 2021 have delivered into that strategy. And I think it's a nice mirror now to sort of finish on the same point as we look forward to 2022. Starting with the value maximization at Sukari, as I mentioned, the underground transition to owner mining is well underway now. We see both cost savings and productivity gains there plus an ability to implement more easily our expansion expectations for the underground as we move forward. Underground study should be ready second half of the year. And we believe that with the confidence we have in both resource-to-reserve growth and our own ability to operate, we'll be able to deliver that in a short period. Commissioning of the solar plant, obviously huge ESG potential for us there and implications but also certainly in this current diesel environment, significant cost savings. And of course, the delivery of those drill bonanza high-grade targets, looking to bring those into both initially the resource category for our mine plan to bring into reserves and then schedule them as quickly as possible into the mine plan. From the growth and diversification area, Doropo continues to finalize the PFS. I'll report back on that with our progress and hopefully move to DFS stage. Continue that systematic exploration of the ABC project in Côte d'Ivoire and of course, commenced that field work in Egypt in and around both Sukari and then more northerly blocks at Um Rus and Najd and of course, retaining our stakeholder return commitment. We flagged the capital structure review. It's well underway now. Ross and I will be working out through the first half of this year and look to update you as we see to bring our capital structure more in line with industry norms. We remain committed to our Egyptian stakeholders and partners as we continue to return both the royalty and profit share to them. And of course, as just mentioned, the $0.05 minimum floor dividend level as well. I think we had a great year in '21. I think we take a great deal of confidence now with our reset team, our commitment to people and processes. And that allowed us to deliver, despite the challenges of COVID, a great '21. And we take that momentum into '22. A lot more work ahead of us but a real sense of optimism around where we can take this company and the upside that we can deliver from here as well. There are going to be challenges but I genuinely believe that we have the team in place to overcome those challenges as they arise from time to time and take us into '22 and beyond and really bring Centamin's full value to the fore. And with that, I'd now like to hand back over to Jordan, our operator. And Ross and I would be happy to take some questions from the floor. Thank you.
Operator: [Operator Instructions] Our first question comes from Jason Fairclough with Bank of America. Jason, please go ahead.
Jason Fairclough: Yes. Good morning, guys. Thanks for the presentation. Look, two questions for me. The first one is on costs and then the second one is on Doropo. Look, I've got to confess on cost, I always get a little bit confused, right? Because we've got notionally a big cost savings program. You've claimed that you've saved $27 million this year. And yet costs have still gone up pretty materially, right? So if I look at your cash cost, they've gone from $339 million up to $368 million. So that's an 8.5% increase. I guess, the question on costs is if we hadn't had this $27 million, would that $368 million number have actually been $395 million? So we're looking at sort of a 16% or 17% cash costs increase. I'll ask that one first, then I'll come back on Doropo if that's okay.
Ross Jerrard: Jason, yes. No, absolutely. So the cost extraction is shown as a net position. But you're absolutely right, there's some significant movements and increases both in terms of spend, some things were better than -- whilst we spent more, it was a good thing. So the deferred stripping program was a key example, where we moved more and spent more money and there's an additional $28 million basically spent there. But also, fuel consumption and the actual quantities that we use, we've used basically 16 million more liters of fuel than we had originally budgeted. But in answer to your question, absolutely, if we hadn't pulled out those costs, we would have been in a very different position.
Jason Fairclough: Okay. Just on Doropo, it looks really quite interesting, right? And obviously, at this stage, just the PFS. But $487 million of NPV on $270 million of CapEx, your group market cap, I think, is only $1.3 billion, right? So if we -- the market start putting some value on this asset, it could be a real material uplift to the value of Centamin. How comfortable are you with those preliminary numbers?
Martin Horgan: Yes, fully agree, Jason. I think people at this stage aren't really factoring a lot of value against Doropo. Maybe because it's a PEA, maybe because people are waiting to see as it comes out through that as well. But I would agree that there's a real potential for this thing to add considerably to the NAV of the business. Look, in terms of comfort around the numbers, as one of our Board members said a couple of years ago, the Toro-fication of Centamin continued as I brought a few people across from Toro with me and -- but I think the key thing to note is those people that have come from Toro had worked on the Mako project with me. And a number of them had worked on other projects in West Africa, the gold projects as well. So our lead project engineer has been involved before, builds across his career in West Africa, Sabodala, Sabodala expansion, Agbaou and Mako. So some real currency in and around sort of West African gold projects. So I think we're coming from, dare I say, a high level of the cost base. We had our workings from Mako, so we know the cost of things in West Africa. Relevant recent cost as well, what we've done in recent inflation admittedly. So I thought we had a lot of experience and some real pricing data. And I think philosophically, we took the view of let's be heavy-handed with the numbers. Let's not sort of play the game where we try and kid ourselves, also the market, that we make the CapEx a bit too aggressive and make the OpEx a bit too aggressive and ultimately sort of fool ourselves there's a real project there. So I think you took on CapEx as a number there and I think $275 million for this project, the CapEx bill, inclusive of 15% contingency, I feel that's pretty heavy. Normally, we would expect to see contingency at the sort of 7%, 8%, 9% basis there. So that alone just tells us that we took a view that let's not try and break it. I don't think that's fair. But let's make sure we're appropriately conservative to see we've got something that things that work. So look, I think looking back to that PEA mid-year of last year, I think we went about it the right way that we gave it a good old shape to make sure that it's real. We think it is and then hence, the request for the Board for the funding to move forward to the PFS. Now I'm sure there will be some inflationary pressures coming into both the CapEx and the AISC. But I do think there was sufficient sort of fat or contingency in our estimates that as they sort of flow through is that we'll still see something viable after the PFS as it comes forward as well. So look, I think it's a real project. I've said a couple of times before, I think the challenges at Doropo will be less technical, a series of small pits, relatively straightforward metallurgy, open pit sunshine mining. But we like that kind of mining. And Côte d'Ivoire is a place to operate fine. I think the main challenge is going to be around community engagement, around land take with a multi-pit sort of operation. But again, to get out ahead of that, we have started our ESIA baseline work, our community engagement work early. And that's going to be the secret to it as well. So look, we think it's real. And we -- I think we've got the right team with the skill set to certainly assess it and then take it forward. And yes, you're right, I think it has the potential to be meaningful to us. And I think -- I don't personally believe that that's fully recognized yet. And I suspect that with the delivery of hopefully a positive PFS later this year is that people will start to maybe start putting some credence to that and start including that in terms of their valuation numbers.
Jason Fairclough: Okay. Thanks a lot, Martin. Thanks, Ross.
Operator: Our next question comes from Charlie Rothbarth of Berenberg. Charlie, please go ahead.
Charlie Rothbarth: Hi. You talked about increased -- about accelerating depreciation. I was just wondering if you could give us some color around the assumptions around that.
Ross Jerrard: Yes, in terms of the depreciation, we use the R&R as the denominator. And with the reserve report from last year, it was a smaller number. So the first half of this year actually saw a bigger number or charge go through. And then obviously, with the new R&R report that came in mid-year, the second half of the year saw a different calculation going through. So it was really just a function of those two reports, the overlay during the year and the function of the denominator, I guess, in that calculation.
Charlie Rothbarth: Okay. Thank you very much.
Operator: Our next question comes from Tyler Broda of RBC. Tyler, please go ahead.
Tyler Broda: Hi, thanks very much. Thanks for the call, as always. I just want to have a couple of questions on costs and then kind of consumables. Could you talk through a bit about the various reagents and the availability and the stock levels? I expect a bit of color in terms of the current circumstances in there. Are you seeing any disruptions at all in terms of getting material to Egypt, considering all of these disconnects that are arising in our global economy? And then the second question is just in terms of the oil price, can you just remind us what is the base forecast you've used for the guidance for 2022?
Ross Jerrard: Great. Tyler, yes, certainly, in terms of costs and the impacts that have flown through to date -- and it really came off the back of the COVID measures and making sure that we had sufficient levels of stock on site. We haven't seen any immediate impact in terms of supply and cost base. The big costs have been flagged and incorporated in the budget in terms of the increased price and predominantly around shipping and, I guess, shipping times and the like. However, I will caveat that, as I say, watching brief in some of our consumables, particularly the products that come out of Europe and the result in the cost because of those gas prices, ammonia, for example, is one example, where it's just a watching brief. At the moment, we haven't seen a direct impact on us. But we're very cautious in terms of our approach on that and are looking for alternative suppliers to bolster what is already quite a robust, I guess, procurement plan on that. And then in terms of the fuel price assumptions going into the year, last year, we used a $0.50 oil price assumption. We increased that to $0.60 for 2022. We're currently sitting just above that. We're running at a $0.64 level for this first quarter. That was including the oil price increases that we saw. And that has subsequently come down a little bit. So we're just on a little bit of a watching brief to see where that levels out as we go into the second quarter but it's currently sitting at $0.64 per liter.
Tyler Broda: Great. And then I guess, just a quick one for Martin, in terms of the bonanza drilling, when do you think you'll have enough information to be able to sort of understand when you can bring some of these potential reserves into the mine plan?
Martin Horgan: Sure, Tyler. Look, I think there's three areas to consider about the bonanzas. So first up is that obviously geological confidence, can we class them as a resource? So have we got the drilling in place that we're confident we can domain and then model them correctly? And obviously, drilling is a focus for them this year. Next thing then is the mine plan, throwing how quickly can we get to them and include them from a scheduling perspective. Now the good news there, of course, is that they sit in the Bast area. And that obviously is close to existing infrastructure. So it's not a huge amount of time or money to then develop to them. So I would imagine that once they are -- sort of got a stope shape around them, getting access to them won't be too tricky. I think the final thing just to think about is the geo-metallurgy aspect to it. It's just making sure that we have the process plant set up and have a processing plan in place such that we don't throw those ounces out of the back end of the plant and stick them in the TSF. So we've got to make sure that obviously process plants like nice, consistent head grades fed into them as you sort of set the chemistry and the physics of running the plant. And if you suddenly shock it by throwing some 30-gram material through and it's been expecting 1.3 gram through it, then obviously you can cause a bit of an issue. So I think we're just having a look at that. And we're running some live trials right now at site around flotation, gravity and so on about how we might treat that. So I think that's a long-winded way of saying that, well, getting drilled off is a priority. I think we can get them physically into the plan to be scheduled fairly quickly. And I think the piece we're just working on now is making sure that when we do mine them and bring them through, that we don't -- we capture and recover as much of the gold as possible. I think, honestly, with the following wind and it all stacking up, we might see some of these ounces coming through back end of this year if we're really lucky. I honestly think that realistically, Tyler, we can see these coming through in 2023 as well. But clearly, as you can appreciate that we're not going to soft pedal on them. We are pedaling hard. The Board certainly won't let me sort of drift along on them. But I think just realistically looking at those work streams of drilling, mine planning and then planning for the processing, I would say a safe assumption is '23. But you never know, we might nick a few in late '22 but I think I'd assume a '23.
Tyler Broda: Okay, that’s great. Good, I’ll hand over. Thanks, again.
Operator: Our next question comes from Daniel Major of UBS. Daniel, please go ahead.
Daniel Major: Hi, thanks. A follow-up question on the cost dynamic and the oil price in particular. I'm assuming your $0.60, $0.64 a liter you're referring to is diesel costs in Egypt. Can you tell us what that equates to sort of conversion to U.S. dollars a barrel? And with respect to your guidance for this year, is north of $100 a barrel going to threaten the guidance?
Ross Jerrard: Hi, Daniel. Daniel, maybe I'll take that one in the first instance. The $0.60 -- maybe if I'd just take it back. So yes, the pricing in Egypt is set. And it's a government price that is set for us. It's set for the quarter with a retrospective look-back for any adjustment. Those prices, although they're not directly linked to crude price or WTI or anything like that, they do run in parallel. And we have seen both increases and decreases given to us by government. So we have seen the price go up and down. It does fluctuate this year. We are expecting to -- we've budgeted for best part of 200 million liters of fuel to be spent across the site. And basically, a $0.05 swing in the fuel price, that equates to a $10 million charge to the business or cost to the business as we go through. So that's the type of quantum as we sort of move through the ranks of $0.60, $0.65, $0.70 in terms of where we're sitting.
Martin Horgan: But I don't think we are able to have a look through to the government's pricing mechanism as to how a change in crude changes the delivered sort of price per liter of diesel. So we don't get to see that linkage. We basically get a letter saying that this is the quarterly price for diesel per liter as set by sort of Egyptian authorities. But we don't have anything. But what we can say is that if you track the price we've received over the last x number of years on a quarterly basis against an international crude index is that it does track it maybe with a little bit of lag in terms of as that flows through.
Ross Jerrard: Yes. And although it's termed as an international oil price, it's certainly cheaper than elsewhere for West Africa, for instance, where that would be running at closer to $1 a liter already.
Daniel Major: Right. So if I just think about the delta there, you're getting sort of $0.60, $0.65 in the first quarter. That's basically a lagging reflection of circa low 80s oil price in Q4. If we've got a 20% increase in the oil price now, is it fair to assume that, subsequent quarters, you'd get about a 20% increase if it was to stay the same on the $0.60 to $0.65? Is that the way we should be thinking about it? And just to be clear, if -- in terms of your calculations, if oil is $100 for the rest of the year, you're still going to make your cost guidance?
Ross Jerrard: Yes. Well, that's right into -- your first question, I think they've already factored in and I'd be hopeful and I suspect that we've already seen that. I think the $0.64, $0.65 level is probably the higher end. And we'd hope to see that drop down. We obviously would be under pressure if we move all the way up to $1 per liter. But certainly, in terms of the -- I guess, the variances or fluctuations that we've modeled, we'd still be within that cost guidance here.
Daniel Major: Okay, cool. And then my second question is just on the balance sheet and, I guess, what we should be thinking about the capital structure review. So this year's minimum dividend, obviously depending on the gold price, I would assume is going to be partially funded from the balance sheet. You've indicated before that the capital structure review probably include taking on some debt associated with projects. But should we be thinking about that as, as those projects, Doropo underground, Sukari, et cetera, come through, that would be the time that you would look to take on debt rather than taking any debt just for the sake of maintaining the cash balance you have in order to pay the dividend?
Martin Horgan: So I think probably the way that Ross and I compartmentalized the thought process around that is that certainly from a Sukari perspective, so the debt as we see it at this stage, we're not thinking about raising this debt toward Doropo. I think what we're looking at, Ross and I philosophically started talking last year around the fact that project capital expenditures at Sukari, we pay for them. But then we get repaid on a three year priority cash flow basis. So it's like a year drawdown, three year repayment from the asset. So Ross and I were chatting around the fact that, that feels very much like a revolving credit facility that where the solar plant is a good example. You spend circa $36 million to deliver it and then actually we take out three years, $12 million to repay that capital investment on behalf of Centamin. So we felt very much that, that feels like a sort of an RCF, draw down $36 million. And as we get that $12 million back over the sort of three years, we just repay that down. And we think that, that then helps to normalize the cash flows from the asset in terms of cash generation from the -- in terms of how we model that going forward. And we think about the cash flows of the asset as the thing that really drives the dividend. So, I think that's probably the first thing to think about. I would say on the Doropo side, by establishing a bank group now for the sort of the funding, if you like, of a project works at Sukari, if we got to the point where we're going to build Doropo, it's far easier to engage with a bank group, where you have an existing two or three year working relationship with and they're known to you, you're known and vice versa and take it from there as well. So we think strategically, although the sort of the cap review and the sort of limited debt we think about the RCF is not per se for Doropo, it is with one eye on the track that we may want to raise some debt in the track and establishing that relationship at this stage as well. So on that basis, I guess, one of the things we have thought about is that we have committed or we are spending money on both the paste fill and the solar plant right now. We will get those cash repayments in '23, '24 and '25 as they start to roll off. So it might be subject to this sort of discussion that we may well sort of effectively sort of draw down on those projects straight up off the bat because we've already spent them and then repay on those three years. But again, it is subject to discussion and review on that basis. But I think we think about that the cash flow from the asset is what drives the divvy. And then there's sort of this concept of a sort of drawdown of the RCF for projects on a repayment basis from there as well. So that's probably an easier way to think as you're sort of thinking about it and, I guess, importantly trying to think about it as an Excel model, if you're looking to do that, that's probably an easier way to think about it. I mean, Ross, what do you think?
Ross Jerrard: Yes. And just to add to that, Daniel, that the thinking around having cash and liquids of $250 million to $300 million in pure cash, I think that metric would come down to more a cash level of $100 million and with a facility of $150 million -- or up to $150 million. So whilst the liquidity stays the same, that cash and debt combination provides that flexibility rather than it all being held in cash.
Daniel Major: Got it. Thanks a lot.
Operator: We have no further questions on the phone line. So I'll hand over to Alex for questions via the webcast.
Alexandra Barter-Carse: Thank you, Jordan. So just a handful of questions here but starting with the dividend, you've announced a base dividend for 2022 with performance potential upside. Is that upside likely to come as a special dividend or as a form of share buyback?
Martin Horgan: I think, look, part of that capital review, part of the discussion with the Board, I think it's -- a gut feel today is that it would come to a more of a dividend than a buyback, I suspect. But look, hard to -- let's get through the capital review. Let's see where the world is in terms of input prices, political stability, supply chains from there. But I don't know, Ross, what you think but my initial gut feeling would be it would feel more like a divvy than a buyback, I suspect.
Ross Jerrard: And yes, I think we have to go through that capital review and look at it. But both would be on the table. And share buybacks have been on the table on the way through. And we'll assess that as we go through and consider that as part of our share price and distribution spend.
Martin Horgan: I think that's a good point, Ross, you made there around the relative value of our shares, how we see the value. And to the very first question coming through there around, are people appreciating the value of Doropo, from Jason, in the share price? And it might be that as we get to that point, we're looking at that. If we feel that we're materially undervalued, as you say, that would probably be on the table there. We are more traditionally a consistent dividend payer. And that's one route as well. It's certainly not off the table. And there will be a number of factors to consider at that point as we looked at it.
Alexandra Barter-Carse: Thank you. As we've seen recently in some South American countries, royalty and fiscal terms have been changing, how do we assess this risk in Egypt?
Martin Horgan: Law, I suspect, in terms of the concession agreement is Law 222 from 1994. And I think, Ross, you've been around this company a little bit longer than me. The sort of CFO [indiscernible] beforehand is that I think the one thing that Centamin has seen and benefited from is a real consistency of application of the concession agreement. And that -- everything from the terms that we operate under to the remittance of funds offshore as well is that it's worked and worked well. And even through historical political challenges and periods of instability is that, that particular law hasn't changed. And I think Ross and I had a meeting with both the Minister of Petroleum and the Prime Minister and the Minister of Finance. Last year, we had a roundtable with them. And the Prime Minister himself actually said that the current sort of administration in Egypt had little to no desire whatsoever to sort of spook international investment by starting to change things. And in fact, they're pro-business and would look to maintain stability of existing commercial arrangements as well. So never say never. I mean, with all these things, who knows what's around the corner? But my own personal assessment is that it's law. It's worked fantastically well for 12 years with no challenges through some pretty tough periods. And there is a real commitment to encourage the mining sector right now by the Minister of Petroleum and looking to seek foreign direct investment. And challenging long-standing acts of law for commercial short-term gain would be quite detrimental. I think that's recognized by the administration as well. So I don't know what you think, Ross. I don't feel particularly sort of worried about it. I mean, never say never but it doesn't feel that way.
Ross Jerrard: And I think the construct and as I spoke in the capital allocation, that third pillar of EMRA profit share and distribution is equally as important as our own distribution. So they've received the circa $100 million that's last year in both royalties and profit share. And we've been able to distribute. But it's making sure that it's balanced and it's there and it's very transparent. And it's working well.
Martin Horgan: And that's the thing we talked about with the Minister of Finance is that if they increase the royalty on it, they only get half the benefit because it reduces the profit share and they take 50% of the profit share as well. So any royalty increase is only passed on, in effect, 50% towards Centamin because the profit share suffers at that point as well. And they understand that mechanism. So yes, so I hope that answers the question, Alex. But I think it's something -- never say never anywhere about anything. But I don't think it's something we feel a particular concern about at this stage.
Alexandra Barter-Carse: Okay. Thank you. Then just a quick question on the production cost profile. You've provided more color for H1-H2 split. Can you just give a little bit more explanation on what those drivers are?
Martin Horgan: Absolutely, no problem at all. So look, we knew sort of the back end of last year with our sort of -- we felt that, subject to Board and then discussion with EMRA, that we could see that the transition to owner mining made a lot of sense in terms of the cost savings, productivity benefits and also future ability to expand more easily as well. So we did prepare for what we believe would be an approved transition to owner mining. We did decelerate, if you like, the planned production from the underground during Q1 to account for that transition. And that led to effectively, if you like, almost a stepped profile through the year, so Q1 being the lowest in terms of ounces produced accounting for this disruptions during the transition phase. Even the best planned transition, there's always going to be a period of interruption to operations as well. So we reflected on that. So we sort of see a stepped increase of Q1 being lower than Q2, Q3 stepping up from Q2 and then Q4 being -- when we're sort of really at steady state, picking up from there as well. So we do see that profile. I do think that Q1 is going to come in at sort of several hundred thousand ounces as we planned. That's sort of 90,000 to 100,000 ounce-type range. I think that's where we're going to be as planned. And then we'll see to step up. And I think as we both reiterated on the call earlier, the discussion is that no change to our annual guidance. So I think people just need to be aware that sort of it is planned. We pulled the equipment from underground. We've given it a full service before sending it back down. We've had the transition of staff from Barminco to ourselves, so the number of days where we, if you like, planned for down production in the underground. And that will come through. So just -- I think people should be aware of that sort of 45-55 split. And then even within that 45%, this first quarter is planned to be a down quarter at this stage. So I think that's probably the only thing just to flag on that at this stage. Obviously, we'll give some more color around that mid-April when we look at the Q1 stats. We have pretty much completed the transition of Barminco offsite. They left at the end of February. We're off on our own two feet now and really starting to build up momentum now as we get -- take the underground where we believe it can go from there.
Alexandra Barter-Carse: Sorry, I was on mute. Thank you. And actually, just sticking with the underground is what is the current expected timing around the underground expansion? Do you think it will be more likely early or late H2?
Martin Horgan: First half of H2. I'd like to get that out before the autumn in the Northern Hemisphere. I think that would be good to get that done -- announced. And then we can start planning from there as well. So we'll continue to push on a bit like the bonanza grade, just a priority piece of work for us in terms of this year. We've got to think about equipment purchases. We did purchase the Barminco equipment at the end of the contract handover. We've got a couple of years' worth of life left in that equipment yet that will see us through. We are planning to replace that fleet with that 8-year to 10-year-plus mine life we see in the underground. Now is the time to make that investment in a new, modern, state-of-the-art underground fleet that will drive those productivity gains or help to drive those productivity gains and cost savings. So if we're going to run at the current rate or an expanded rate, we want to understand that as we place those orders during the second half of the year for delivery in '23. So there's an imperative just from our own planning to get that done as quickly as possible so we can make sure we get our build slots locked in with the manufacturers and get the right size and amount of equipment we need to implement the sort of go-forward case.
Alexandra Barter-Carse: Great. Thank you. And then Ross, just one last one for you. On the income statement, can you explain why the noncontrolling interest share to the government for the full year was $52 million but in H1, it was $55 million?
Ross Jerrard: That is a combination of -- no but it will be a combination of the cost recovery of those investments that are going back and pulling -- effectively eliminating after the noncontrolling or the SGM portion. So if you refer to the statement of comprehensive income, you'll see the net movement on those.
Alexandra Barter-Carse: Okay. Thank you very much. That is all from the online questions.
Operator: We have a follow-up phone question from Daniel Major of UBS. Daniel, please go ahead.
Daniel Major: Hi, yes. So a really quick follow-up question for Ross. Just on the depreciation, what's your guidance for D&A 2022?
Ross Jerrard: Well, it will be a similar number that we've experienced today. And more important thing is it will also be determined by our next R&R that comes out. So we've used a consistent profile for the last R&R and depreciation rates. And -- but obviously, we will assess that when the new R&R comes out later this year.
Daniel Major: Okay. But all else equal, I assume it's the same year-on-year?
Ross Jerrard: Yes, that's right.
Martin Horgan: Depends how many ounces the geos put in the tin. Hopefully, it's a big number.
Daniel Major: Right. Cool [ph].
Operator: We have no further questions on the phone line, so I'll hand back.
Martin Horgan: Thank you very much, Jordan. Well, thank you, everybody, for taking the time to listen in today. As I say, hopefully, it's been a useful insight. And yes, look, a number of challenges, as we've talked about, inflation, headwinds, supply chain and so on. But genuinely, I do believe with the team in place, the momentum and I think the sort of the growth potential that we have in the business and the cost-saving initiatives and the productivity gains we're looking at, we can more than offset those and continue to take it forward as well. So looking forward to a good '22 as we go forward, more delivery on behalf of everybody and really starting to map out that upside case to 500,000 ounces steady state and bringing Doropo during the course of the year as well. So thank you, everybody and looking forward to speaking to you soon. Thank you. Thank you, Jordan.